Operator: Welcome to Alico's Fourth Quarter and Fiscal Year Ended 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. As a reminder, today's conference is being recorded. This morning, the company issued a press release announcing its results for the fourth quarter and fiscal year ended September 30, 2024. If you've not had a chance to view the release, it is available on the investor relations portion of the company's website at alicoinc.com. This call is being webcast, and a replay will be available on Alico's website as well. Before we begin, we would like to remind everyone that the prepared remarks today contain forward-looking statements. Such statements are risk -- subject to risks, uncertainties and other factors that may cause actual results to differ materially from those expressed or implied in these statements. Important factors that could cause or contribute to such differences include risks detailed in the company's quarterly reports on Form 10-Q, annual reports on Form 10-K, current reports on Form 8-K and any amendments thereto filed with the SEC and those mentioned in the earnings release. The company undertakes no obligation to subsequently update or revise the forward-looking statements made on today's call, except as required by law. During this call, the company may also discuss non-GAAP financial measures, including EBITDA, adjusted EBITDA and net debt. For more details on these measures, please refer to the company's press release issued yesterday. With that, I would like to turn the call over to the company's President and CEO, Mr. John Kiernan.
John Kiernan: Thank you, Madison, and thank you, everyone, for joining us for Alico's fourth quarter and fiscal year ended 2024 earnings call this morning. To begin, I want to recognize that Alico has more than 125 years of experience as a leader in Florida agriculture and land management. We have consistently stated that Alico seeks to provide our investors with the benefits and stability of a conventional agricultural investment, with the optionality that comes from active land management. As a reminder, we own approximately 53,371 acres of land across eight counties in Florida as well as approximately 48,700 acres of oil, gas and mineral rights in the state. Since 2022, Alico has continued to face challenges in recovering from the aftermath of Hurricane Ian. More than half our crops dropped before harvesting in fiscal year 2023 and fiscal year 2024 fruit production did not return to pre-Ian levels. These lower levels of production remain a concern to management as we begin to harvest the fiscal year 2025 crops, and we are evaluating our performance daily. We are unable to forecast the size of the 2025 crops at this time and cannot provide any fiscal forecast for these -- for this fiscal year until we have greater visibility about our expected revenues. However, Alico is committed to focusing on operating income potential, protecting our balance sheet and preserving our capital to ensure that we have adequate financial resources to invest in the business, so that Alico can continue to provide competitive returns to our stockholders. Lower production for Early and Mid-Season and Valencia harvest this season resulted in lower levels of pound solids being produced, which required the company to write down $28.5 million of total inventory related to our 2023-2024 harvest and $19.5 million of total inventory related to our 2024-2025 harvest. On October 9, 2024, Hurricane Milton impacted most of our citrus groves with sustained hurricane or tropical force winds for varying durations of time. The company believes that our groves sustained minimal tree damage. However, there was measurable fruit drop from trees in our northern groves, particularly in Polk and Hardee Counties. At this time, it is not possible to reliably estimate the amount of additional fruit drop, if any, that may occur as a result of Hurricane Milton. As Alico reported previously, the company entered into a new three-year Orange Purchase Agreement to sell oranges to Tropicana at prices that are approximately 33% to 50% higher over the life of the contract than the average price for all the citrus fruit sold to Tropicana last season. In addition, in 2024, we treated nearly all of our producing trees with an oxytetracycline or OTC injection to combat citrus greening, approximately 35% of which were treated for a second consecutive year. Our decisions to treat our trees with OTC were supported by scientific research, which indicated that the benefits of OTC trunk injections include a decrease in fruit drop, improved fruit quality and mitigating some of the impacts from citrus greening. We have and will continue to apply to the Florida Citrus Research and Field Trial Foundation for grant monies to offset the cost of these OTC injections. In January of 2024, we received grants that covered substantially all of the OTC application costs incurred in fiscal year 2023. And to-date, we've received approximately 35% of the money spent during fiscal year 2024. We have applications pending that would cover the rest of our fiscal year 2024 treatment costs. Despite the recent challenges in our citrus operations, we remain optimistic about the future success of Alico. In December of 2023, we completed the sale of 17,229 acres of the Alico Ranch to the State of Florida for $77.6 million in gross proceeds, which we used to repay all of our outstanding borrowings under our line of credit due to the impact of Hurricane Ian, and the $19.1 million balance of our MetLife variable term rate debt, thereby strengthening our balance sheet and reducing our required principal payments through fiscal year 2029 to less than $1.5 million per year. In addition to increase our financial flexibility, in September 2024, we amended our credit agreement with MetLife by extending the maturity of our revolving line of credit until May 1, 2020 -- 2034 and which we believe demonstrates the continued support and confidence in Alico by MetLife. We believe that the revolving line of credit provides us with ample liquidity should we need it to manage significant weather events as well as to ensure that we have time and capital to realize the long-term highest and best use of our real estate assets. We are continuing to evaluate all of our properties to enhance and build value for our stockholders. The multi-year entitlement process, which we began in 2023 for our 4,500 acre grove in Collier County near Fort Myers, is proceeding well under the leadership of our Executive Vice President of Real Estate. While there is considerable work yet to be done, the company has made significant progress, including but not limited to, the completion of environmental assessments, the development of conservation strategies, the preparation of market assessments to facilitate planning and beginning to conduct selective stakeholder outreach efforts. In addition, other real estate properties in Polk, Highlands and Hendry Counties are also being considered for potential transactions. The company remains committed to considering all options for the most profitable use of all the land in our portfolio. With that, I will turn the call over to Brad Heine to discuss our more detailed financial results.
Brad Heine: Thank you, John, and good morning, everyone. As our fourth quarter is not indicative of our full year results due to the seasonal nature of our business, I will focus primarily on our full year 2024 results today. As a reminder, the majority of our citrus crop is harvested in the second and third quarters of the fiscal year. And as such, the majority of our profit and cash flows are also recognized in the second and third quarters. However, due to the timing of the current year harvest, more of the citrus crop was harvested in the first and second quarters of this fiscal year. As such, the quarterly results for the fourth quarter are not indicative of our full year results. For the fiscal year ended September 30, 2024, the company reported net income attributable to Alico common stockholders of $7 million compared to net income attributable to Alico common stockholders of $1.8 million for the fiscal year ended September 30, 2023. The increase in net income is principally attributable to a gain of $81.4 million for the sale of land in the current year as compared to a gain of $11.4 million in the prior year, partially offset by an inventory impairment charge of $19.5 million in the fourth quarter of the fiscal year ended September 30, 2024, related to our 2024-2025 estimated harvest. In addition, our net income for the fiscal year ended September 30, 2023 was positively impacted by inventory adjustments recorded at September 30, 2022, as a result of the impact of Hurricane Ian, which effectively lowered the inventory to be expensed in the fiscal year ended September 30, 2023, as well as $27.4 million of crop insurance proceeds, $0.8 million in property and casualty insurance reimbursements for Hurricane Ian, and $1.3 million in proceeds from federal relief proceeds received under the Florida Citrus Recovery Block Grant program in the fiscal year ended September 30, 2023. For the fiscal year ended September 30, 2024, the company had earnings of $0.91 per diluted common share compared to earnings of $0.24 per diluted common share for the fiscal year ended September 30, 2023. When both periods are adjusted for certain items, including gains on sale of real estate, federal relief proceeds from the 2017 Hurricane Irma and 2022 Hurricane Ian insurance proceeds and net realizable value adjustments, the company had an adjusted EBITDA loss for the fiscal years ended September 30, 2024 and 2023 of $3.8 million and $16.1 million, respectively. General and administrative expense for the year ended September 30, 2024 was $11.1 million compared to $10.6 million for the year ended September 30, 2023. The increase was principally attributable to an increase in personnel costs, partially offset by lower depreciation, legal and professional fees due to the dismissal of the shareholder litigation in 2023 and lower insurance costs as compared to the same period prior year. Other income net for the years ended September 30, 2024 and 2023 was $78.4 million and $6.7 million respectively. The increase in other income net was primarily due to an increase in land sales, including the 17,229 acres of the Alico Ranch to the State of Florida for approximately $77.6 million in gross proceeds during the year ended September 30, 2024, compared to $11.5 million for the prior year period. I will now pass the call back to John.
John Kiernan: Thanks, Brad. Although the last harvest season was disappointing, which we believe is the result of continuing recovery from Hurricane Ian, Alico enters the current harvest season with more than 4.5 million producing citrus trees, which have been treated with OTC. This crop will be sold at prices 30-plus-percent higher than last season because of the new supply agreement with Tropicana. Our employee base is stable, experienced and focused on delivering results for our shareholders. Alico has endured another challenging weather season in 2024, but sustained no real damage to our trees. The company has a strong balance sheet, which we believe will provide us with the time and capital to evaluate and then realize the long-term highest and best use of our real estate assets to create long-term value for our shareholders. Two significant entitlement programs and a few other potential land sales are already in progress. We remain committed to providing our investors with the benefits and stability of a conventional agricultural investment with the enhanced optionality that comes through active land management. And with that, we'll now open the line up to questions from industry analysts. Madison?
Operator: [Operator Instructions] And we have reached the end of today's question-and-answer session. I would now like to turn the call back over to Mr. Kiernan for closing remarks.
John Kiernan: I just want to say thank you to everyone for joining our call today and for your continued support of Alico. We look-forward to speaking with you about our first quarter results in February.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a great day.